Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Sherritt International Corporation’s First Quarter 2017 Results Release Conference Call and Webcast. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, Wednesday, April 25, 2018 at 09:00 AM Eastern Time. I will now turn the conference over to Mr. Joe Racanelli, Director of Investor Relations and Communications. Please go ahead sir.
Joe Racanelli: Good morning, everyone. Thank you for joining us today. As is customer, we will be following the presentation that’s available from our website, sherritt.com. We will be making some forward-looking statements, and those can be found within our presentations. With me today are David Pathe, CEO of Sherritt; as well as Steve Wood, Chief Operating Officer; and Andrew Snowden, our Chief Financial Officer; and each will be making remarks to put our results for the first quarter into context. Please go ahead, David.
David Pathe: All right. Well, thank you, Joe. Good morning everyone, and thanks for joining us this morning. A very busy quarter. So, a few things to highlight for you this morning. It’s also the first quarter that fully reflects Ambatovy at 12% following the completion of our restructuring Ambatovy late last year. As we normally do, Steve and Andrew are both going to speak to some of the operational and financial highlights and provide a little context to those, but before we do this, there’s just a few things I wanted to touch on as well. Over the last few years, you’ve seen we’ve been quite focused on strengthening our balance sheet and reducing our debt that focus continued in the first quarter. You would have seen our announcements, we did repurchase $120 million worth of our debentures at an aggregate cost about $110 million or so had a slight discount through a modified Dutch auction that closed during the quarter. That transaction was funded by – primarily by our first equity offering in 10 years, an offering that was oversubscribed, quite heavily oversubscribed, and generated net proceeds of about $125 million. Combined those transactions along with cash flow out of all of our operations in the quarter, left us with more cash and less debt at the end of the quarter than that we started the year with. A few other highlights, we had a good quarter from our Cuban energy receivables’ perspective. We collected about $41 million receivables and did see that over new receivables balance come down a little bit. Net direct cash cost at Moa was $2.06 a pound once again for the fourth consecutive quarter in the lowest quartile in the industry cost curve. And I’ll look at the industry cost curve in a few slides albeit close from the story of what’s happening there. I mean a big part of the story in the quarter was higher commodity prices. We’ve seen a significant movement upward in all of our commodities over the last 12 months. the average reference price for nickel was up 29% just over $6 a pound, that’s the highest reference price we’ve seen in about three years. Cobalt as everybody is well aware of what cobalt has done, cobalt reference price for the quarter was $39.01 that’s up 97% year-over-year, and that trend has continued into the first quarter with cobalt trading at $40, $41, $42 at the moment. Average reference price for oil was up about 22% as well the $55 a barrel and change. Over on to Slide 6, you can see what nickel prices and cobalt prices have done over the last 15 months along with the moving average trends, you can see kind of the direction where it’s going. You look at nickel on the left hand side there, nickel bottomed out about four in a quarter in July of last year. And you can see the volatility since last summer, but the upward trend is pretty consistent since then that volatility is continued into the first quarter as well. We did briefly touch $7 a pound, I think we’re back in the low sixes at the moment, but it’s certainly a well off the lows of mid-2017. That’s driven by supply deficits that we now – the market has come into after several years of surpluses. We’ve seen inventories come down over the course of 2017, global inventories on the LME and elsewhere, and that decline in inventory trend has continued to accelerate in 2018. Cobalt prices has obviously been more dramatic, and you can see that trend in the graph on the right hand side there. That’s driven largely by the supply concerns and the emergence of the electric vehicle theme, which continues to generate more and more momentum for cobalt and that is now flowing into the nickel price as well. We saw the benefits of that in our cash flow in Q1 even with some of the production challenges we experienced at Moa from the weather perspective as we talked about when we issued our guidance. And some of the real issues we had there, but we’re seeing that positive cash flow notwithstanding those, because driven by those higher commodity prices. To put these upward price movements in some context for you, just for Moa and ignoring Ambatovy since there’s not much cash and we’re out of Ambatovy at the moment. Every dollar on the nickel price is worth about $40 million a year into us and free cash flow out of the Moa joint venture and every dollar on the cobalt price is about $4 million. Over on Slide 7, I wanted to just highlight a bit more of what’s actually happening in the nickel market for you given the emergence of electric vehicles, and where the nickel supply is coming from. You see on the graph there, the forecast for seven, eight years from now and 2025 what nickel supply and demand is forecast to look like. And we really are now starting to see this kind of bifurcation in the nickel market between Class I pure nickel that is battery amenable and nickel contained in iron-type products like Ferro-nickel and Nickel Pig Iron, which isn’t usable at all or for batteries. And so as there is concern or possibility of new Nickel Pig Iron production coming online that does not add anything to the available nickel supply for battery and other non-stainless steel applications of nickel. Even within the Class I nickel supply then you do see differentiation of the type of products. We produce the nickel briquette from powders at both of our operations, but the bulk of Class I nickel was actually in the form of cathode really just a solid metal sheet or plate of nickel, and that although technically capable of being produced into batteries is less amenable to the battery amenable – battery production, because it is much slower to dissolve, and the battery production process typically involves dissolving nickel and other metals cobalt into solution and acid, and then precipitating out the dissolution, the alloys that form the cathode, and it’s really only the nickel sulfates and briquettes and powders that are really most amenable to that process, and that forms a relatively small fraction about 30% of the Class I nickel supply. So we’re expecting to see that trend continue over the next two years as the non-stainless steel applications of nickel continue to be the fastest growing demand segments, and there’s really only a fraction of the nickel market, which is where we’re positioned that can really meet that demand. On Page 8, you can see the nickel cost curve that we typically take a look at, and see Moa as I mentioned earlier at $2.06 a pound is at the lowest quartile once again, lowest quartile is going to continue to come down those nickel producers including us in the lowest quartile certainly benefiting from higher byproduct commodity prices and primarily that’s driven by cobalt. Ambatovy was obviously out of the higher end given the issues dealing with the cyclone there, but is getting the benefit of the cobalt – higher cobalt prices as well as well as improving nickel prices and we do expect to see that Ambatovy costs come down as production recovers in the second quarter and then even more so in the second half of this year. What I really wanted to highlight for you on this is the way, the shape of this curve is changing given the impact of byproducts credits. A year ago, the lowest quartile and deferred – qualified for the lowest quartile was the nickel producer, it took $2.88 a pound, today that numbers $2.06, so that the number of the lower the cost for the bottom quartile of producers has come off about $0.80 and I’d say that’s driven by – primarily by byproduct credits and the greater cobalt credit. If you look at the 50th percentile, however though that’s a $4.19 in the quarter. A year ago, the 50th percentile was at $3.78. So, the shape of the cost curve is changing. the bottom quartile continues to drop, but the 50th percentile and higher ore from there continues to actually – starts to creep back up again. Out of that into the cost curve, they typically don’t get the benefit of byproduct credits. And I think out there, you’re starting to see higher energy prices bite and potentially cost savings that have been driven out of operations over the last few years in some cases proving to be not sustainable. So, yield curve, though our costs are coming down in Moa and the industry at the bottom quartile continues to get cheaper. Nickel across the board from a cost production perspective has actually started to creep back up again in this more competitive cost environment. Those are the things I wanted to highlight for you. Off the top, I’m not going to ask Steve to talk to you, but if – and provide a little context around some of the production for the quarter and then we’ll go to Andrew.
Steve Wood: Okay. well, thanks Dave and good morning everyone. As I usually do, I’ll be starting off with a quick discussion on our safety performance during the quarter. We continue to press forward with our safety plans across all of our operations to ensure that every employee goes home injury-free every day. And in Q1 of this year, we actually had no last-time injuries, which is the first time since Q3 of 2015. So we’re feeling like, we’re making some significant progress, and there’s still a lot of work to do in the area of health and safety. Turning to the highlight for the Moa joint venture. On Slide 10, you’ll see that on a 50% basis, Moa has produced 2,854 tons of nickel and 336 tons of cobalt in the quarter, which are down 26% and 23% respectively from the first quarter of the previous year. I want to put that production decline into some perspective, it was due to a reduced delivery of mixed sulphides to the refinery in our Fort Saskatchewan operation. This was caused by two distinct developments. The first one is, that we experienced the heavy rains of the fourth quarter of last year that carried over into the first quarter of this year, and they resulted in the highest levels of rainfall that we’ve seen there and well over 20 years. That’s limiting our access to plants, mining areas at Moa. And secondly, like many other companies with operations in Western Canada, we experienced transportation delays to the refinery by the rail service provider. The adverse impact of the these record rainfalls, and the rail transportation delays have been alleviated since the start of the second quarter, and we expect to achieve the lower end of our 2018 production guidance for finished nickel and finished cobalt at the Moa joint venture for this year. Of note, I’d like to point out that the refinery of Fort Saskatchewan will have its annual shutdown this quarter, the length of which will be similar to that of previous years and for unit at Moa, the NDCC was $2.06 per pound, which is down 37% from last year and as Dave noted the NDCC puts more in the lowest quartile for the fourth consecutive quarter. The decline in the NDCC was largely driven by the higher cobalt prices and in the first quarter, we generated a cobalt byproduct credit of $4.27 a pound. turning to the highlights for the Ambatovy joint venture on Slide 11, this is our first quarter reporting as a 12% owner as Dave pointed out. Nickel production there was – in the quarter was 688 tons while cobalt production was 49 tons, that’s on a 12% basis. as you can see these totals were down from our results in Q1 of 2017 and I should point out that our production results for 2017 are also presented on a 12% pro forma basis for a more relevant comparison. I’d like to put some of this decline in production and declined tax. and on January 6th, Ambatovy was hit directly by Cyclone Ava, which is a Category 2 hurricane equivalent storm and the cyclone necessitated a plant shutdown, and caused extensive damage to the facilities and the equipment. Production resumed at the end of January following the completion of the critical repairs while other repairs are ongoing today. Metal production in the quarter was also lower due to reduced production of sulphuric acid as a result of a failed economizer in Acid Plant 1, which is one of the two acid plants that we have there. Following some repairs, we’re currently operating at about 50% capacity on that one Acid Plant, the other Acid Plant is running at full capacity. And as discussed previously, the metal production at Ambatovy will continue to be constrained by lower production of acid in Q2 of 2017 albeit is a higher level than in Q1 and production capacity is expected back to normal once the economizer is replaced in may. Efforts to replace economizer will necessitate a shutdown of Acid Plant 1 for about 17 days in May. The net result of the cyclone in the economizer was in NDCC in the quarter of $5.34 per pound and we expect the NDCC at Ambatovy to be significantly lowered in the second half as a result of the repairs of the acid plants and a return to normal production levels. now turning to our oil and gas operations on Slide 12, we produced 3916 barrels of oil equivalent per day on a networking interest. this total marked a decline of approximately 56% from the previous year. The decrease was due to a number of factors, one being the exploration of the Varadero West production sharing contract this past November and as we’ve been talking about in previous conversations, the natural decline of maturing fields that we have there, has to be expected the decrease in the number of barrels produced, had an impact on unit cost and the unit costs were $20.83 per barrel, which is up from the $8.66 per barrel for the first quarter of 2017. now turning to our power division on the next slide. We produced 202 gigawatts of electricity in the quarter, which is down marginally from Q1 of twenty seventeen. The decline was largely due to a reduced availability of the natural gas that we used to produce the electricity and as to be expected, the decline in production volumes also resulted in slightly higher unit costs. So that concludes my review of our operational results and I’ll turn it over to Andrew Snowden, who will review our financial results more closely.
Andrew Snowden: Thank you, Steve and good morning everyone. Earlier Dave did mentioned that we ended the year – the first quarter with a higher cash balance in December and if we turn now to Slide 15, we can see the typical cash waterfall that we prevent, which shows our ending March cash balance at $237 million, which is a $35 million increase from December. There were three main drivers to that positive cash increase; one was $60 million of receipts from Moa and that was primarily in the form of repayments on our working capital facility of Moa and reflecting the strong commodity price environment despite a challenging quarter from a production perspective. Secondly, we had around $33 million of positive working capital changes and that was driven by fertilizer pre-buy that we received in the quarter and also the improved Cuban energy collections and I’ll make a few more comments on that later on in the presentation. Thirdly, following the transactions that we undertook in January being the units offering the repurchase of debentures and the related transaction costs. We did retain approximately $10 million of cash. and so it’s really there are three key drivers that contributed to our improved cash provision at the end of the quarter. looking forward, I would expect our second quarter cash flow to be a bit softer than Q1 and primarily, because of the timing of cash flows, the higher interest payments we see in the second quarter and also the annual shutdown of this positive cash refinery that Steve referred to you earlier. the debt buyback transaction I just mentioned, which we undertook in Q1, it is the most reason of in fact several initiatives we’ve undertaken in the past four years. And if we turn to Slide 16, we can see that the positive impact these assets have had to reduce our debt over that time horizon. We’ve essentially now eliminated approximately $2 billion of debt since 2014 in support of our strategy to strengthen our balance sheet. These started with a sale of our non-core coal assets in 2014 and the related debenture redemption. The restructuring of Ambatovythat we’ve spoken about the length and also a couple of debenture buyback transactions including the $120 million buyback that we just concluded in January of this year. These initiatives coupled with our efforts to extend the maturities of our debentures mean that we now have almost four years until of those maturity. Now, our balance sheet is the strongest, has been in the years. We do remain committed to continue to focus on strengthening our balance sheet and will opportunistically reduce our debt going forward. The impacts of these debt reduction initiatives is a bit more pound, if you turn to Slide 17, which looks at two key ratios that measure the health of our balance sheet. Firstly, we highlight the reduction in our net debt over the last 18 months and you can see the net debt, which is significantly firstly from December 2016 to December 2017 with our Ambatovy restructuring and then more recently through the course of Q1 with a stronger cash balance and the debt buyback. Similarly, we have received our debt to EBITDA ratio to 3.4, which is the lowest metric, is being in several years. Returning now to our Cuban energy receivable, I’ll just make a few additional comments and you’ll see in Slide 18, some further detail on the movement side [ph] on the quarter. One key point that David already mentioned as we did receive around $41 million of cash on those receivables during the quarter and that compares very favorably to the amounts we received in the fourth quarter, where we received approximately $7.5 million, so a significant improvement in those collections. And this has resulted in a scheduled overdue receivables decreasing during the quarter from the $133 million at year-end to $127 million overdue at the end of the first quarter. Reducing these receivables is in continues to a strategic priority for us and important to understand that this balance does fluctuate and have fluctuated over the 25 years. We’ve operated in Cuba, but we never had any disputes with the Cuban government on the amounts that were owed and we continue to remain confident that we’ll recover these amounts are owed. Next, I want to just make a few updates, a few remarks on our guidance, which is summarized on Slide 19. We did recently announce our guidance reduction, unit costs, and capital spending for 2018 and we made some revisions to back in our third quarter release, which we updated yesterday. And these updates reflect the positive outlook for commodity prices and also the recent developments in our operations. So, I’ll just make a few comments on some of the changes noted in the slide. Firstly, to Ambatovy, we did reduce the production guidance to cobalt by around 400 tons and that’s due to the lower forecast cobalt grade, which is – although it’s consistent with our original mine plan, the grade is slightly lower so that which we experienced in the course of 2017. Secondly, we updated our net direct cash cost at both Moa and Ambatovy and that primarily reflects continued strengthening in the cobalt price. This result to about strengthening, we’ve updated our cobalt price assumptions from $30 a pound, which we included incorporated in our initial guidance to now $40 a pound in the guidance that we’ve updated in our release yesterday. To Moa, the high cobalt price, which has been partly offset by higher fuel prices and also as Steve had referred to the fact that we’re tracking towards the lower end of our production guidance; there has also been a $0.75 reduction in our Moa NDCC. At Ambatovy, the higher cobalt price assumption has been offset – or partly offset by the lower cobalt production guidance that I referred to earlier. Before turning the call back to today, we just wanted to make a few closing remarks on Slide 20 and that’s really just highlights of two new IFRS Accounting Standards, which we adopted January 1, 2018. IFRS 9 is the new Financial Instrument Standard and this led to a number of changes in the measurement of various sites on our balance sheet and although the impacts of the income statements is fairly limited. IFRS 15 is the new revenue standard and I did not have any significant impacts on Sherritt’s financial results. The specifics of this can be found in the four of our financial statements, but I’m happy to follow up with anyone subsequent to this call and if anyone has more detailed questions on these changes. That concludes my remarks. And I’ll turn the call back over to Dave for his closing remarks.
David Pathe: Okay. So just before we take your questions, you’ve all seen in our press release that we have a plan going forward in our drilling activities on Block 10 and I just wanted to give you a little context around that. Those of you have been following us will know that we suspended drilling in December on Block 10 following a continuing difficulties in getting across these zones and the upper zone of the two zones in the Block 10 area, where we are losing circulation of the drilling mud and we’ve brought in various compounds to try and help heal those fractures that were leading to the loss of circulation and we weren’t having any success with that and rather than continuing on. We want to take a step back and see what other options were available to us. And those have been evaluated over the – over year-end and through the quarter. And as you saw in the press release, we now believe, we have a new technical solution to that, it involves primarily a new type of casing or at least new to us like expandable casing that hasn’t previously been available to us, because of the various trade restrictions in doing business in Cuba. However, expandable casing has been used extensively around the world and certainly a lot in drilling in the Caribbean. If you recall, we’re drilling about over 5,000 meters to the total depth in the lower zone that we’re targeting here, and is the offsetting challenges we have of getting through these zones and the upper zone to get down to that lower reservoir, where we originally hit oil and we drilled vertically 20 years ago, in wells maintaining sufficient hole diameter to be able to have sufficient torque on the drill bit to get all the way down to that lower zone, and each time you set a stage of casing we lose about an inch and a half off the diameter of the bore hole, so we can only set casing so many times before we get down to total debt. What the expandable casing option gives us and if you flip over to Page 23 in the slide, you can see a bit of a schematic of how this looks. Gives us the ability to get a neck bid and an extra string of casing beyond what we’ve been previously able to do. And so by having this expandable casing that literally is what as it sounds and we can insert in the hole, and that actually expands and help to maintain hole diameter, but the next layer of casing that will be inserted through that, it gives us the ability as we hit these zones, where we were losing circulation and drilling much to insert such casing and that still maintains sufficient hole diameter, I’d be able to get the torque on the drill bit to get down into the lower reservoir. So our plan for drilling will be much the same as it was – when we started in the last attempt to this in third and fourth quarter of last year, we will be backing up back to the 9-5/8” casing and breaking out of the hole there once again and then drilling through the – into the upper reservoir and looking to penetrate get through that through these last circulation fractures and then on down now having the extra flexibility of an extra casing string. So we’re currently in the process of getting all of that imported into the country, we don’t actually want to start drilling until we have all the materials that we’ll need put the drill hole in the ground – on the ground in Cuban on site, so that we minimize the amount of time that the hole is open that should have starting drilling and late June, early July, and hopefully some results for you on that before the end of third quarter. To get more detail on that is in the press release, and but we’ll have more updates for you as the year goes on, I just wanted to give you bit a sense of what it is we’re doing there. Lastly, before we take your questions, I just wanted to acknowledge the political changes that we’ve seen in Cuba. I’m sure everybody has read that Miguel Diaz-Canel I was elected President by the Parliament in Cuba on April 19, effectively he was succeeding Raul Castro, who’d been in the position for 12 years, but this really marks the first time in a couple generations that the personal in the title of President in Cuba has not been the Castro. This is all really as expected to President Diaz-Canel was actually put forward is the first Vice President the country a few years ago and was expected to succeed to this position. Raul Castro remains Chairman of the party and head the armed forces and so this orderly transition that we’ve been expecting to see there for some time continues to unfold. President Diaz-Canel has indicated he remains committed to the gradual economic reforms that we’ve seen in Cuba over the last few years that we expect to see that stability that we’ve seen there over the last few years continue and we’re quite encouraged by that. Our long standing relationships in operations in Cuba continue, we remain Cuba’s largest foreign investor and we’re not expecting to see any real change in the status quo there for us and in the near medium term here. That’s what we all wanted to cover for you this morning. So with that operator, we will happily take any questions anyone may have.
Operator: Thank you. [Operator Instructions] We’ll go ahead with our first question from Jacques Wortman of Eight Capital. Please go ahead.
Jacques Wortman: Okay. It looks like the oil of the Cuban oil gross working interest bopd was tracking well above the 4300 to 4800 guidance in Q1 and power costs of $17.22 per megawatt hour was well below the guidance range of the $20.75 to $21.50 per megawatt hour for the year. Can you just give any additional guidance regarding the profile of these metrics over the balance of the year and if you can kind of, if it’s possible to give us sort of a quarter-by-quarter outlook on both power and oil? Thanks.
David Pathe: Sure, Jacques, thanks. So on the first one, on oil, the guidance we’ve really produced obviously is our annual guidance, so averages across the year. I think the primary difference you’ll see it in the oil production is then sometimes it holds up a little better than we are expecting, but obviously we do see a natural decline rate over the course of the year and then we can see if we can get a bit more context around kind of what to expect quarter-by-quarter. It was a strong production quarter from an oil perspective, but we will see that continued decline just in accordance with the natural reservoir declines, because there is no more infill drilling going on that reservoir. the networking interest was up a bit more than the gross working interest and in fact that that relates more to just the allocation of some costs given that there is less activity on Block 10 than we were anticipating on the cost guidance was done given where we’re at in the drilling and it’s really just an accounting entry that leads to more costs being allocated to the production block, which then comes back in the networking interest in their cost recovery oil. On the power side, I don’t have a lot for you off the top of my head and frankly, and we can see and give you a bit more detail on that. We do see – typically see some fluctuation in operating costs from quarter-to-quarter, which really just has to do with the timing of maintenance turnarounds on the different turbines. So costs will jump up and down a bit depending on which or how many turbines or wind turbines are down for maintenance turnarounds. And so there wasn’t anything in the quarter. There was a good quarter from a cost perspective that caused us to want to change the guidance per an annual perspective at this point in time, but it’s – I think it’s primarily about timing of maintenance drives that.
Jacques Wortman: Okay. Thanks very much.
Operator: [Operator Instructions] We will take our next question from Orest Wowkodaw of Scotiabank. Please go ahead.
Orest Wowkodaw: Good morning. I’m curious what cobalt price are you assuming in the revised cost guidance now for the two nickel assets?
David Pathe: So the guidance at year-end was based on about $30 of cobalt and so – and now with their forecast going forward, we’ve plugged in $40 of cobalt. So you see it the $10 uptick, then offset somewhat as Andrew mentioned by – what looks like creeping up fuel cost and other costs at Moa and that’s what led to the reduction in the range at Moa by $0.75.
Orest Wowkodaw: Okay, thank you. And then just on the production guidance. I mean it was a pretty weak quarter of both operations in Q1 on the nickel side. What gives you confidence that you can still make even the low end of the guidance ranges for these assets?
David Pathe: Well, taking Moa first, which is really where the primary focus is, a part of the production loss came from the heavy rains at Moa, but part of it also came from the rail interruption difficulties, so that mixed sulphide just as that exists and was produced in Moa, but didn’t make it to the refineries on a timely basis to be processed. So that mixed sulphide exists and still in the system, and is making its way to the fort now. and there is excess capacity, the fort beyond the capacity of the Moa JV, and in the Moa part of the operation to produce when we – in the past, when we’ve been able to fill up excess capacity at the fort with third-party feed from time-to-time when it’s economic to do so. So we do have the capacity to make up with excess capacity at the Fort for that where the mixed sulphide does actually exist. Secondly, the guidance that we’ve put out for the year and did largely take into account these events, but the guidance we’ve published for Ambatovy. We knew of the hurricane and the cyclone in the southern hemisphere in the extent of the damage that it produced there. and so that was factored into the guidance and the Ambatovy production for the quarter was actually about where we expected it to be and when we get the acid, in the second quarter, we’ll be better than the first, but we’ll not be back to where we want to be. and we when we put the guidance out to year-end we did mention I believe that H2 or the second half of the year for Ambatovy was going to be a much heavier production half from the first half of the year. that was our expectation obviously, Ambatovy had variability and volatility in its production in the past, but that certainly is what we are expecting in terms of the forecast.
Orest Wowkodaw: Great. thank you very much.
Operator: Ladies and gentleman, this concludes the Q&A session for today. I would like to hand it back to Joe Racanelli for closing remarks.
Joe Racanelli: I’ll let David.
David Pathe: Well, thank you very much for joining us again, once again this morning then. We do have our annual general meeting on the 12th of June. hopefully, we’ll see many of you there and we’ll be back to speak to you again in three months’ time when we report the second quarter. Good luck with the rest of the earnings this week everyone. Thanks very much.
Operator: This concludes today’s call. We thank you for your participation. You may now disconnect your lines. And have a wonderful day everyone.